Operator: Good afternoon, ladies and gentlemen. Welcome to Chunghwa Telecom Conference Call for the company’s Third Quarter 2022 Operating Results. [Operator Instructions] For information, this conference call is now being broadcasted live over the internet. Webcast replay will be available within an hour after the conference is finished. Please visit CHT IR website, www.cht.com.tw/ir under the IR calendar section. Now, I’d like to turn it over to Ms. Angela Tsai, the Director of Investor Relations. Ms. Tsai, please go ahead.
Angela Tsai: Thank you. This is Angela Tsai, Director of Investor Relations for Chunghwa Telecom. Welcome to our third quarter 2022 results conference call. Joining me on our call today are Harrison Kuo, our President and Vincent Chen, our Chief Financial Officer. During today’s call, management will begin by providing an overview of our business in the third quarter, followed by a discussion of our segment performance and the financial highlights. After, we will move on to the question-and-answer session. On Slide 2, please note our Safe Harbor statement. Now I will turn the call over to President Kuo. President Kuo, please go ahead.
Harrison Kuo: Thank you, Angela and hello everyone. Welcome to our third quarter results conference call. I will now provide an update on our robust performance in the third quarter. Let’s begin on Slide 4 for an overview of our mobile business. In the third quarter, we see the positive development of Taiwan’s mobile market of operators towards 5G migration in a steady manner. Focusing on creating value for customers, which we predict is good for healthy market competition. Looking into quarter four, the mobile market in Taiwan is expected to remain steady in potential economic uncertainty. In terms of market position, we are pleased not only to maintain our leadership in Taiwan’s mobile market, but also successfully to achieve year-over-year growth in terms of both revenue and the subscriber share for four consecutive quarters. In the third quarter, we increased our revenue share to 39.4% and the subscriber share to 36.5% on a year-over-year basis respectively. Our overall positioned revenue share is larger than the subscriber share suggesting that our customer attention business strategy is proving successful. We are confident that we can maintain our leadership position going forward. Please turn to Slide 5 for a closer look at our mobile business. In the third quarter, our total mobile service revenue increased by 4.2% year-over-year, attributable to the outperforming subscriber number increase and the up-sell resulting from 5G migration. Mobile subscriber members, excluding IoT SIMs increased by 2.6% year-over-year, possibly due to the increase of both postpaid and prepaid SIMs. In particular, our prepaid numbers grew significantly, reflecting our success in enhancing sales in the segment of 5G offers. In addition, our churn rate continues to remain the lowest among our peers. Our postpaid ARPU reached 1.8% year-over-year growth in the third quarter, maintaining its upward trajectory for six consecutive quarters. Meanwhile, we observed an average 44% uplift in mobile monthly fees attributable to consumer migration from 4G to 5G. With our most extensive network deployment and the solid fundamentals, we are confident in our ability to maintain leadership in Taiwan’s mobile market in the face of more intense competition resulting from industry consolidation. Moving on to Slide 6, you may find an update of our fixed broadband business. In the third quarter, our fixed broadband business continued its upward trend for 12 consecutive quarters in terms of ARPU growth as total subscriber numbers increased by 0.5% year-over-year. We are excited to see the swift upgrade adoption increased at a swifter pace, thanks to our effective promotional package Su zai bi xing. In the third quarter, 75% of Su zai bi xing factors upgraded their service speed. In addition, more than 60% of the adopters signed up for service speed of 500 megabits per second or higher paired with upstream speeds about 250 megabits per second, which distinguishes us from our peers. Meanwhile, the accumulated signups for service speeds of 300 megabits per second or higher increased by 43.7% year-over-year in the quarter, mainly attributable to those who migrated their services from service speeds of 100 megabit per second or below. In terms of financial performance, our fixed broadband revenue and ARPU year-over-year growth in the third quarter, indicating increases of 3.3% and 2.4% respectively. Now, let’s move on to the performance of our Consumer Business Group. Slide 8 presents the revenue of our Consumer Business Group or CBG. As each business line of Consumer Business Group delivered positive results in the third quarter, total revenue of Consumer Business Group increased by 3.8% year-over-year. Mobile service revenue of Consumer Business Group grew by 5.4% year-over-year, mainly due to the increases of postpaid subscriber number and the 5G migration. Fixed-line service revenue remained flat year-over-year, while we are delighted to see successful up-sell for payers by the Su zai bi xing promotion package. However, fixed voice revenue continued to decrease, even though the decline has decelerated. In addition, sales revenue of Consumer Business Group increased by 5.4% year-over-year in the third quarter, mainly due to early launch of iPhone series in September with better sales of iPhone 14 high-end models. Slide 9 further illustrates our Consumer Business Group highlights as we continued our efforts in promoting a multiple-play package to enhance Consumer Business Group’s overall performance. In the third quarter, the number of subscribers signing up for our mobile, fixed-broadband and Wi-Fi services altogether demonstrated a 33.8% quarter-over-quarter growth. In particular, our Home Wi-Fi device subscription increased by 75.3% year-over-year, contributing to subscription-based revenue and paving the way for our home-centric applications. In the third quarter, our investment in original streaming content helped us successfully maintain our status as the largest video platform in Taiwan. Attracted by the exclusive dramas we invested, our subscriber numbers for video services, including MOD and Hami Video, charging monthly fees instead of one-time sign-ups, achieving 7.4% year-over-year growth, exceeding 2.7 million. As the FIFA World Cup is coming up in the fourth quarter, we are ready to bring our customers the most exciting experiences. We obtained the exclusive rights to broadcast 64 World Cup games, and will combine 5G and AR technology to deliver super attraction, which we believe will significantly boost our video service sign-ups in the fourth quarter. Please turn to Slide 10 for an overview of our Enterprise Business Group performance. In the third quarter, Enterprise Business Group maintained its growth trajectory by demonstrating 5.1% revenue increase on a year-over-year basis, mainly attributable to the robust growth of our ICT business. Enterprise ICT business revenue increased by 10.4% year-over-year mainly due to our emerging growth engines, particularly IDC, cyber security, and cloud services. Other revenue of Enterprise Business Group also increased due to the grants of 5G government subsidies and the launch of iPhone 14. Additionally, although digital transformation demand continued to drive up data communication and broadband access revenues, especially demand for speed upgrades from schools, our fixed-line revenue in the third quarter decreased slightly year-over-year. Slide 11 illustrates our enterprise business highlights. In the third quarter, our total enterprise emerging application revenue increased by 16.1% year-over-year as most of our major applications demonstrated strong performance by exceeding 20% year-over-year growth. 5G private networks revenue delivered multiple-fold growth mainly due to the increased accumulated projects that bring in recurring revenues. For big data analysis, cloud and IDC services, we are delighted to see year-over-year revenue growth of 73.3%, 26.4% and 26%, respectively, owing to the completion of some government related projects, while cyber security revenue reached 28.4% growth. Slide 12 illustrates our international business performance. In the third quarter, our International Business Group revenue continued to increase by 22.6% year-over-year, maintaining its growth momentum, attributable to the rising demand for IDC and cloud services from global clients. In addition, other revenue increased as well mainly due to the contribution from subsidiaries in Vietnam and Thailand. In September, our 5G private network project in Thailand announced its launch of operations, proving our success in introducing smart manufacturing services abroad. We plan to replicate this successful model and continue to cultivate the Asian markets. Now, I would like to turn the call to Vincent for our financial highlights.
Vincent Chen: Thank you, President Kuo. Good afternoon, everyone. I will now walk you through our third quarter financial results. Let’s start with Slide 14, income statement highlights. For the third quarter of 2022, total revenues grew by 5.2% on a year-over-year basis, mainly due to increased ICT project completion and higher revenues from core businesses, such as mobile services and broadband access. Meanwhile, operating costs and expenses increased by 4.7%, owing to higher manpower expenses and depreciation expenses from 5G network deployment. Income from operations increased by 6.7%. Net income and EPS remained stable compared to the prior year period. Additionally, our EBITDA recorded a 5% Y-o-Y increase and EBITDA margin remained stable in the third quarter. Now move on to Page 15 for balance sheet highlights. Compared to December 31, 2021, total assets decreased by 1.9% mainly owing to decreased cash and cash equivalents for dividends payment and the acquisition of property, plant and equipment. Total liabilities is lower by 1.9%, primarily attributed to payment of accounts payable for equipment and suppliers, which offset the increase of bonds payable. We continue to maintain a healthy balance sheet as our debt ratio stays at about 24% level and net debt over EBITDA is zero. Page 16 presents the summary of our cash flows. Cash flows from operating activities decreased by 1.6% on year, mainly due to the settlement of accounts payable. As for capital expenditure, mobile-related CapEx including 5G decreased year-over-year as 5G capital spending reached peak in 2021. Additionally, free cash flows increased by 8.3%, compared to same period last year. Taken together, our healthy balance sheet and strong cash flows enable us to manage economic uncertainty and support business developments through challenging times. On Slide 17, we provide a table that compares our financial results with our financial guidance. In the third quarter of 2022, all performance measures with respect to revenue and profitability exceeded our financial forecasts. Revenue beat guidance mainly attributable to better-than expected performance of core businesses as a result of growing subscriber numbers, 5G migration, and broadband business. Operating costs and expenses were higher than our third quarter guidance due to higher costs of goods sold from smart devices and depreciation expenses. EBITDA and net income top our forecasts due to the steady growth of core businesses and improved profitability of emerging businesses. That concludes the overview of our Q3 financial results. Let me turn the call over to our President, Harrison.
Harrison Kuo: Thank you, Vincent. The next page demonstrates our ESG efforts. In the third quarter, we announced to participate in the global Renewable Energy 100 initiative to demonstrate our resolution to transition to 100% renewable power by 2040. In addition, we secured the single largest corporate power purchase agreement in Taiwan this year, which allows us to realize the use of 100% renewable electricity for our IDCs in 2030. Additionally, we worked with world famous Taiwanese badminton player, Tai Tzu-ying, to initiate tree planting project, aiming to plant 15,000 trees in next 3 years. Chunghwa’s ongoing ESG efforts have been recognized globally, receiving multiple awards from international institutions and organizations. Going forward, we will continue to develop our ESG practices to satisfy the UN Sustainable Development Goals and to promote the greater good for our local and global communities. Thank you for your attention and support. At this time, I would like to open up our conference call for questions.
Operator: [Operator Instructions] Our first question is coming from Neale Anderson from HSBC. Go ahead please.
Neale Anderson: Thank you. Good afternoon. Two questions, please. The first relates to the International Business Group that was quite strong. Can you give us any color on how big you think that market can become. And whether you can sustain this type of 20%-plus growth? The second question is a general question on costs. And I would be very interested to know if you are seeing any cost inflation pressures in any areas of your business such as energy, wages, etcetera? Thank you.
Vincent Chen: Okay. So, for the first question about the margins from the International Business Group, the amount – we don’t disclose the margin yet, but roughly for all of the margin – EBITDA margin of our business groups is in the range of 30% to 42%. So, it’s around this range. And we are quite confident that because we see there is a demand from the overseas digital transformation and also there is an IDC demand locally. So, we believe the margin can be sustainable. For your second question about the cost pressures from inflation, so basically, we do face the pressure because the government raised the electricity rate three months ago, but likely because we have been undertaken the energy saving initiative 2 years or 3 years ago. So, the energy savings from our operations kind of offset the rising utility bills. So, that’s my answer.
Neale Anderson: Understood. Thank you very much.
Vincent Chen: Thank you.
Operator: [Operator Instructions] The next question is coming from Sara Wang from UBS. Go ahead please.
Sara Wang: Hi. Thank you for this opportunity to asking questions. So, I actually only have a very quick question. So, in third quarter this year, we see that both EBITDA and operating income saw quite good growth, but net profit remained flat. I am just wondering what the gap is on the non-operating items?
Harrison Kuo: So, if I understand your question correctly, so basically, Sara, you are talking about why EPS actually is – it remains flat, right. For our EBITDA, actually there is Y-o-Y growth of 6%, 7%, right. 6% to 7%, right. So, that’s because of our, sort of, non-operating business because we have invested – we have made several investments in venture capital. And some of our investments actually in the last year, same period because of the bond market. So, we have recorded valuation gains. But because for this year, there is a market correction, so there is an valuation adjustment. So, that heavily affected our non-operating income.
Sara Wang: Got it. That’s clear. Thank you.
Harrison Kuo: Thank you.
Operator: The next question is coming from Neale Anderson, HSBC. Go ahead please.
Neale Anderson: Thank you for letting me ask another one. Could I ask about the 5G uplift and how you expect that trend, particularly next year. So, it’s still quite high, 32%. Do you think that can be sustained into 2023? Thank you.
Harrison Kuo: For the 5G, right. So basically, we will disclose more detailed information in early January or February in the next results call.
Neale Anderson: Okay. Thank you.
Operator: [Operator Instructions] As there are no further questions, I will turn it back over to President, Kuo. Go ahead please.
End of Q&A:
Harrison Kuo: Thank you for your participation. Bye-bye.
Operator: Thank you. Thank you, President, Kuo. Thank you for your participation in Chunghwa Telecom’s conference. There will be a webcast replay within an hour. Please visit www.cht.com.tw/ir under the IR Calendar section. You may now disconnect. Goodbye.